Operator: Good afternoon, ladies and gentlemen. My name is Sylvie and I will be your conference operator today. At this time, I would like to welcome everyone to Artis REIT's Third Quarter 2020 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Today's discussion may include forward-looking statements, which include statements that are not statements of historical facts and statements regarding Artis REIT's future financial performance and its execution or initiatives to deliver unitholder value. Such statements are based on management's assumptions and beliefs. These forward-looking statements are subject to uncertainties and other factors that could cause actual results to differ materially from such statements. Please see Artis REIT's public filings for a discussion of these risk factors, which are included in their annual and quarterly filings, which can be found on Artis REIT's website and on SEDAR. Thank you. And I would like to turn the meeting over to Mr. Armin Martens. Please go ahead, sir.
Armin Martens: Okay. Thank you, moderator and good day, everyone. Welcome to our Q3 2020 conference call. So again, my name is Armin Martens. I'm the CEO of Artis REIT. With me on this call are Jim Green, our CFO; Kim Riley, our EVP of Investments; Phil Martens, EVP of U.S. Operations; and Jackie Koenig, SVP of Accounting;  So again, thanks for joining us. As in the past, I'll ask Jim Green to review our financial highlights and then I'll wrap up with some market commentary and then we'll open the lines for questions. So go ahead please, Jim.
Jim Green: Thanks, Armin, and good afternoon, everyone. So these strange times continue. The second wave of COVID is hitting all countries with more restrictions and government mandated shutdowns. Despite that, however, Artis continues to see good results from our operations. And in our opinion, we have completed an excellent quarter, despite the presence of COVID. Our rent collections have been strong and thus for our tenants are weathering the storm quite well. Artis did not participate in the CECRA program proposed by the federal government. However, we have been working with our tenants as needed to provide rent deferrals. And in some cases, we have provided rent abatements in exchange for an early renewal or longer term on the lease.  Federal government has recently announced new rent relief program for tenants with the aide coming directly to the tenant and not involving a rent reduction by the landlord. We feel this is a major improvement in the program and we will work with our tenants as necessary to help them access this program. At the end of September, our rents receivable were down to approximately $8 million from $12 million at the end of June. Then further $5.5 million that we've agreed to defer under deferral agreements with our tenants and what we feel the majority will ultimately be collected. We did book a reserve of approximately $2.1 million against these balances, which we feel is adequate to cover any potential rent defaults. Our accounts receivable collection rates during Q3 were over 97% and have been over 98% for the month of October. Our leasing activity continues to be strong with over 600,000 square feet of new leases commencing in the quarter and a weighted average increase of over 6%. Interesting fact that the numbers almost the same, roughly 600,000 square feet of leases typically negotiated during the quarter. And the average increase of that was 5.4%, which we feel is very good given the impact of COVID on the commercial rent market. You will recall going back to 2018 that the REIT announced the plan series of new initiatives, the surface value for the REIT. In our opinion, we've now virtually completed that series of planned initiatives and we've set ourselves a new series of initiatives, including a further $550 million of asset sales with the proceeds targeted mainly for debt reduction. This program is already well underway.  In addition, we've announced a plan to spin off our Canadian retail properties into a separate entity. We believe this plan, which is aimed at reducing the diversified nature of Artis’ portfolio is still a potentially effective strategy. However, as announced in our press release, given the recent proxy fight initiated by one of our unitholders, the Board has determined to delay the unitholder meeting related to the spinoff until a later date. Based on our Q3 NOI, the rate is 50.5% weighted in Canada and 49.5% in the U.S., so almost half and half. As we continue to move forward, however, we expect the majority of future asset sales will likely be in Canada, and we expect this ratio to swing such that greater than 50% of our income will come from assets in the United States. On an asset class basis, we're 45.6% weighted in office, 19.2% weighted in retail and 35.2% in industrial. Specifically on retail, you may recall retail was only 17.2% of Q2. However, part of that swing was due to a fairly large bad debt provision recorded in Q2 on the retail tenant rents receivable. You will have noted – may have noted that we've added some new disclosure on our MD&A breaking out a lot of our metrics by asset class. Hopeful this disclosure is helpful to both the marketplace and to our analysts, as investors continue to review our results and valuations. During Q3, we've completed two projects we had under development, both of which are 100% leased. And as of September 30, we really only had one project left that actively under development, which is our 40-storey residential project in Winnipeg. As detailed in our MD&A, we also have several development projects in the planning stages where construction is not actively started, however, they're proceeding well, and we would expect at least one or two of those to start during Q4 or Q1 of 2021.  Our balance sheet reflects a slight improvement in our debt to GBV with the ratio now at 51.9% this quarter compared to 52.5% last quarter and 52.3% at year end. We did collect a fairly substantial mortgage receivable right at the end of the quarter. So that did not get applied to the debt, but did on October 1. So we expect further improvement in Q4 when you factor in that mortgage receivable collection, plus some asset sales that are currently under unconditional contract. Artis does have a fairly significant portion of our debt maturing within the next 12 months, including roughly $503 million of mortgage debt in addition to an unsecured debenture of $250 million. Some of that debt we've been deliberately keeping short term as it relates to assets that we plan to sell. And we'll probably continue to do that with some of it. We don't anticipate any difficulty in refinancing the rest of it on longer-term assets roughly $32 million and that gets repaid any way just from typical principal repayments during the next year. And funds are available on our line of credit if needed for any refinancing. Our NOI line this quarter was $71 million compared to $70.2 million last quarter, so an increase again. With the increase in NOI, combined with lower interest rates and lower debt costs, our FFO for the quarter is up to $50.8 million from $49.4 million last quarter.  On a per unit basis, FFO came in at $0.37 this quarter compared to $0.36 [ph] in the last quarter and $0.34 in the comparative quarter last year. Again, as we did in Q2, we've added disclosure breaking out our FFO for each asset class using that percentage of NOI as the method of allocation. On that math, it's $0.17 from our office portfolio, $0.13 from our industrial portfolio, and $0.07 from the retail portfolio. AFFO for the quarter was $0.27, $0.25 in Q3 of 2019. Our payout ratios are very conservative 37.8% of FFO and 51.9% of AFFO. On the same property basis, the results unfortunately were negative this quarter 1.2%, and one of the largest factors in the drop is actually the parking revenue in the Western Canadian office sector and where tenants have canceled parking while they worked from home during COVID. Industrial segment continues to show the strongest performance in both countries with 2.3% growth in Canada and 0.7% growth in the U.S. On a fair value basis, we, as required under IFRS, value all our properties at fair value and valuation is a little challenging in the current market due to COVID. However, we did have additional external appraisals done during the quarter, and there's certainly no hard evidence to indicate that cap rates or discount rates or market rents have moved substantially. You may recall we recorded a fairly substantial reduction in value at the end of Q1 and for both Q2 and now Q3, we did not feel any significant adjustments were warranted and the net fair value adjustment was very nominal this quarter.  So given that fair value of properties, we can now calculate the net asset value per trust unit and our calculations just using the equity on our balance sheet, less the equity held by our preferred unitholders and divided by the number of common units outstanding at the end of the quarter. And on that basis, the net asset value or NAV per unit was $15.35 this quarter, compared to $15.40 last quarter. Asset declines, I'm going to say mainly due to FX, which on a standalone basis would have decreased now by $0.23 and offsetting this as a gain of approximately $0.18 from our income for the quarter being an excess of our distributions. Here we go. Artis ended the quarter with approximately $48 million of cash on hand and $423 million undrawn on our line of credit based on what we know today, we feel we have more than adequate liquidity to get us through the remainder of the COVID crisis. And we look forward to more normal times. And last, but certainly not least, I'm pleased to highlight that we've announced the distribution increase of 3% commencing with the distribution that will be paid in January 2021.  That completes the financial review for now. I'm happy to answer any questions later. But I'll pass it back to Armin for some more discussion first. Keep safe, everyone.
Armin Martens: Yes, thanks, Jim. And so folks as we know, this has been a volatile unprecedented year. But as it applies to Artis, the worst of the year [ph] is behind us. Artis is clearly performing very well this year. We continue to make good progress in all key strategic fronts and are delivering strong performance metrics for our unitholders. We saw rental increases. Our FFO and AFFO per unit are all solid numbers. Our rent collections are good and continue to improve, and watch for more monthly updates from us on that front as well. So we're in great shape, and of course we just printed an excellent quarter. We have every reason to believe we'll deliver a great Q4 as well and end the year strong and look forward to next year with optimism.  Looking ahead, given our very conservative payout ratio and the progress we've made on our strategic initiatives, debt reduction will continue to be a top priority for us. As mentioned, we are confident of our ability to reduce our debt to GBV to the 25% range by the end of the second half of next year. And we're satisfied of course that as we improve our debt metrics, our price multiple will improve as well. I fondly remember it was only in the first quarter of this year, this same year. We were trading over $13. And we think that, that price is achievable in short order as well as we continue to improve our metrics and demonstrate progress on all of our strategic fronts. As Jim mentioned, falling floating interest rates are a natural boost to our earnings, which we think is structural and will remain with us long term. Lower for longer is clearly the new mantra normal for interest rates. It is our view that liquidity and availability of credit will continue to improve as we get to the other side of this pandemic.  And all of this of course will be good for real estate and REIT valuations. Our property disposition program progressed very well during Q3, in the third quarter. Looking ahead for this year, we anticipate selling – by selling, I mean [ph] close to unconditional about $300 million by year end with another $250 million to $300 million by summer next year. So $550 million to $600 million by the summer of next year, with most of it done this year, and again at prices consistent with our IFRS NAV of $15.35, and again used for debt reductions and improvement of our liquidity.  It's important to note of course that as our financial metrics improve, so do our portfolio of properties. We're continuing to improve our office and retail weighting – I'm sorry, we're continuing to reduce our office and retail weighting and increasing our ownership of industrial properties. We're streamlining and high-grading our portfolio as well as reducing the number of secondary markets we're in. And in a sense, this is a private equity model that we're implementing to maximize unitholder value.  The office and retail markets have been challenging this year, but on balance our overall portfolio is performing well. Interesting to note of all the office markets Artis is in, Toronto, Winnipeg, Calgary, Vancouver, Madison, Minneapolis, Denver, Phoenix, it's Madison and Minneapolis that have printed positive absorption numbers in terms of the markets themselves. But a new paradigm is upon us in terms of office and retail and even industrial.  And I mentioned this at our AGM – excuse me again. What a difference a 100-year pandemic mix in terms of office, but we will see more work from home. But maybe not so much, but we'll see more. Because creativity matters, productivity management teamwork matters, we believe there will always be a need for office space of course. However, we do expect that office tenants – the office tenant market will settle down to about one to two work-from-home days per week. We expect office tenants to need more space per employee. And therefore, we expect the demand for suburban office space to increase versus CBD.  And in our case as you are aware, about 75% of Artis' property, office properties are suburban; 25% CBD. In terms of retail, that’s the paradigm shifted at retail in an accelerated manner this year. Online shopping has potentially peaked during this lockdown. But as we move to the other side of this pandemic, equilibrium between online and in-person shopping should be achieved. And in a way, it's good to get that over with, so to speak. We do point out that not all retail is bad retail. Open air service sector, strip malls, needs-based retail, retail will always be in demand. Shopping in principle have to be done in person. And in a way this kind of retail is akin to showcase industrial. I mean that's the kind of retail that Artis primarily has. And showcase industrial, as you know, is a very good asset class. So not all retail is bad retail. There's still good opportunities in retail.  In terms of industrial, while industrial has come up again as the winner during this pandemic, we generally speaking, we will see demand for industrial space increase. And in our case, Artis has about – we own about $2 billion of industrial properties, about $1 billion on each side of the border. It's all performing well. That has a very good track record and continues to deliver solid organic growth. And our industrial development pipeline is also on track to deliver excellent results. As I mentioned before, stay tuned for more good news on this front, as we move to expand our industrial development pipeline with institutional joint venture partners. We do not have an announcement to make on that front yet, but we have signed a comprehensive letter of intent with a global institutional partner that focuses only on real estate, to develop an $80 million, that's Canadian dollars, of industrial development in Phoenix. And so we're just trading paper on the JVA, and as we get them – that is completed, which is the target before the end of this year, we'll give you more color on that.  But it's a good validation. I mean this is a fund that manages over $1 billion of real estate worldwide. It's a good validation of our management team and our industrial development platform and our expertise. So we're looking forward to that JV and many more in the year ahead. So again, some key takeaways not for this quarter and beyond, Artis will deliver very good results this year. We are poised to be one of just a few REITs that will actually increase its FFO per unit in 2020. And next year will be better than this year. We feel that our distribution hike of 3% is both modest and prudent, and it sets the stage for multiple annual distribution hikes in the years ahead. Also in terms of return of capital, in our watch for Artis to keep its NCIB active in a prudent manner during the months and years ahead as well. And this is not just about a select accretive use of capital, it's very accretive of course at these prices, but about tax planning for our unitholders as well. We do always have to keep all aspects of the capital markets [indiscernible] income tax planning as recapture of depreciation and this capital gain. All these things have to be taken into account when we execute on the sales program. We can't just push a button and say sell. We've got to do it in a methodical and well-planned manner, and that's what we are doing. When we look at our five-year model and we feel our model is very conservative. And the distribution hikes that we're talking about and the NCIB that we're discussing are very reasonable and very prudent and very much affordable.  As a matter of fact, possibly we can do even more. So again, Artis is not your typical diversified REIT anymore. This is important, and this is because of a lot of hard work on the part of the Board and management. It didn't happen overnight, but during the past two years we have made very good progress in streamlining and improving our portfolio by asset class and geography. And we'll continue to do so as we saw noncore retail and office properties between now and next summer and the quarters ahead. As Jim mentioned, we did about – we did a lot of leasing this last quarter. I mean that's a typical quarter for us. We're working very hard. We did over 700,000 square feet of leasing, 105 leases. 35 were new leases, which are always challenging. And then 70 of that were lease renewals. And we've got a diversified portfolio. We make the point that really diversified is not easy to do. Not everybody has that experience to manage a diversified portfolio of three different asset class real estate. And at the portfolio level and then even at the capital markets level, at the Board level, it's not that easy to do. If you look at the charts, we feel we've got a great track accord of doing that, and we're the right team, management team to do it. We can't just push a button and say we'll change the management team, we can't just push a button and say we'll change the Board, because there isn't that much expertise out there that can manage a diversified portfolio, the way we manage it. So we feel we're in good shape. That does complete my part of this report. And, we trust that you'll find as Jim mentioned our new MD&A format even more informative and useful to analyze and valuing Artis REIT. Looking ahead, as it remains, all we say, we'll continue to work hard and keep our buildings full whilst bringing the rents up to market consistently streamlining and improving our portfolio.  And to be clear, the integrity of our balance sheet, our earnings goals, implementing our strategic initiatives and staying on the path of continuous improvement and that's an important path. As I said, it doesn't happen overnight. And the results we've delivered this year is as an example of that objective, to stay on that path of continuous improvement. All that is of utmost importance to us. So I'll turn the mic over to your moderator now to add to the questions – asked for questions. But before I do, I just want to make the point that, I think, we all know that Artis in the early stages of an activist campaign, is that what I can call it. Well, we want to focus, we'll like the questions in this call to focus on Artis. And the good REITs that we are in the great quarter and the results and the operational and anything to do with Artis, not on the activist campaign, there's a lot of days ahead of a negatives ahead of us to do that. So if you hear me say the word activism, or activist or sandpiper, that doesn't mean that I want to talk about it. So with that, I'll now let the moderate moderator take over and fill questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Liyan Chen at IA Securities. Please go ahead.
Liyan Chen: Thank you. And good afternoon. I was just wondering if you could give us a little bit more color specifically regarding, just your general outlook in terms of the Canadian office segment? Naturally depend on how long the implications of COVID are going to last, especially now that we're in the middle of the second wave and perhaps even getting some subsequent waves. So given this extended period of uncertainty, I know you briefly mentioned your overall thoughts, but I was just wondering if you've got some updates as to how employers are going to reimagine their office space going forward?
Armin Martens: Yes, that's a good question. All of us are hopeful that – and we believe we're seeing a little bit that more space is required currently and tenants got to release more space. This is one of the reasons that there could be a push for more demand for suburban office versus downtown, because the rental rates have been at the end of the day, they do matter. And depending on which city you're in, 90-day commute, each way, plus 30 – 30-minute commute minimum to get your office spaces and overhead experience. So we have still uncertain times with the office market, there will be a paradigm shift for [indiscernible]. There'll be more work-from-home. We don't know yet. I think long-term, everybody wants to be downtown and be in an office space and work collaboratively with their teammates, with their co-employees. But for now, I think – and we're seeing negative absorption as you know, in Toronto, Winnipeg, Calgary, and Vancouver, even. And we should – and there's a lot of sub-leasing taking place, especially in Toronto. And we should expect that to continue. And I thought by this time we'd be out of this pandemic thing, but we're not. And, I think we should expect next year to be a slow year as well, and we should not expect positive absorption anywhere, potentially even more sub-leasing before things get back to normal. But by no means, one thing that would say, that urban living is dead or the downtown is dead. They'll always be demand for office space because there just always will be. But more space per employee will be needed. I believe suburban office will become more popular. It could become the next big thing. Availability of space at a cheaper rate, availability of parking to be closer to the soccer fields and the schools where the kids are and even till your support is large and your support system, all that matters. So it's not very scientific, everything that I've said, but that's, I set it right now, it's early days still, and I hundred percent believer that office space will always be with us, demand will always be with us. But there will be a shift in the nature of the demand.
Liyan Chen: Thank you. And similarly, can you give us some more details about the market conditions in Minnesota? And if you could talk about your views there going forward?
Armin Martens: Yes, so I mean, there has been slight absorption in the first half of this year in Minnesota, in Minneapolis-St. Paul market, as well as Madison [indiscernible] fairness, I believe most of that was suburban and there was a little bit of decline downtown in those markets. But they have all performed, most markets in North America, knapsack because it's been disruptive here where tended to put their pens down, instead you are leasing your space, whereas you are hanging in there, we'll do short-term renewals. And when we get to the other side of this pandemic, we'll start making decisions again. So that's a tough year we're in. In our case, our office properties are performing, okay, they’re still not good enough. It's our greatest – in terms of dropping same property NOI it was retail first, then office and industrial was positive. But we see ourselves coming out of this and obviously our portfolio being in pretty good shape, all things considered to vis-à-vis the market conditions.
Liyan Chen: Great, perfect. And just lastly very quickly. So just regarding the retail spinoff, other than the party that was mentioned in the press release, I was just wondering what kind of feedback you've received from other stakeholders so far on this initiative, since the announcement in September? And what's the current auction plan and timeline here?
Armin Martens: So I think the press release is clear on the action plan there. When we first reviewed this retail spin off it was about 120-day process, we had two financial advisors working with us and recommending it, unanimous Board support. And we still – in the month of September, we got nothing but positive feedback. So many people said, you are doing fine, don't bother with the spinoff and nobody criticized it. But then an activist has come up to disagree and I'm not sure if it was opportunistic or not. But we're doing it – we're not jamming this down anybody's throat and we want to be. And our AGM was won’t disclose that were contemplating and proposing this spinoff, but we always said it would be up to the unit holders, we would take it to the unit holders for vote. We're doing it in a tax efficient manner. And because of that, because we are not jamming it down anybody's throat, because it's tax efficient and totally democratic, it requires two thirds vote of approval from the preferreds and the common, not 50.1%. Jim is looking at me right. And because of that that's one of the factor, the way we could consider and say, well, maybe we'll just put this aside right now. To remember last year, two thirds of the core, well let's put this aside right now. We firmly believe in it. And we'll deal with it another day and we'll just focus on the Board requisition for now. The thing about the retail spinoff is the empirical data speaks for it. It’s a very good idea. And one thing I'm disappointed is activist coming out and not having a better idea, just saying no status quo sell down. Okay, there's two questions when you say – when somebody says you sell retail, there's two questions to ask. One is to whom and others, to what price. And then what about – then the third thing is what about the income tax consequences? You've got to think of all aspects. Most of our investors are retail investors, They're taxable investors. When you're a nontaxable GP of an asset fund, maybe you don't care. You only get paid only on the top line. But we look at all aspects and we're careful to do this the right way. You look at the way we're trading you look at our FFO breakout by asset class. We're clearly not getting any value at all for retail. And we know if we spin off a small cap retail REIT, it's not necessarily going to trade well and trade below the NAV. And some people say we trade like an orphan. Well, there's a lot of orphans out there. It's a big orphanage in terms of retail REITs trading below NAV right now, and office is trading below NAV. We think it's a brilliant idea, we have a very good idea to still do retail spin-off. It's tax-efficient. And you get something and you get a retail unit in your hand, and if you're a taxable investor, you can sell the unit, you get out. If you're nontaxable, you can stay in it and watch the retail REIT sell down its properties at a NAV which is higher than the trading price and give you back a good return of capital. There's so much optionality there. And again as I said, it is diversified. It is hard to run a diversified with an excellent value proposition. All diversified REITs in counter excellent value propositions, I think. But if you want maximum value, you're trying to get the NAV, well now you're in a value trap. How do you get all of that? How do you get all this value trap to get the full NAV of $15.35? Now you've got to think outside the box. You can't just say, well, sell and pay taxes or this or that, you've got to think outside the box and you've got to look at what is working. And what is working for true-play REITs. That is working. They're getting better price multiples than we are. And so that's why we went that direction. And I still think the retail spin-off a great idea. It moves us forward to just being an office-industrial REIT which we can then spin off again or we privatize. Either way, it gets us to a better price multiple as an industrial without the retail. in the retail we get – whatever price we get, it's more than worth what we're getting now.  So thanks for mentioning that. Good That question. I had to give a longer answer than I thought it would.
Liyan Chen: That’s great. Thank you for your comment. That’s all I have. I’ll turn it back. Thanks.
Operator: Thank you. [Operator Instructions] And your next question will be from Jonathan Kelcher at TD Securities. Please go ahead.
Jonathan Kelcher : Thanks. Good afternoon. First question just on the asset dispositions, could we maybe – especially the two large ones, the Concorde portfolio and Shoppers Delta, could you maybe give a little bit of color on them in terms of who looked at them? Who the potential buyers were? And who ultimately bought them.
Armin Martens: Yes, I’ll let Kim Riley in here.
Kim Riley: Yes, for sure. And I can't say the names of the purchasers. But I can say in terms of who's looking at all of our dispositions right now, it's kind of a mix of larger fund managers, private individuals and some family office, so kind of a little bit of a mix. So Concorde specifically was looked at by multiple buyers. We didn't have it listed, but we think that we achieved a great value. That one does have some future density. So there's an apartment complex that could be developed there. We're in the kind of final stages of approval on that and anticipate that will be approved early next year.  Same thing with Delta. Delta Shoppers has some density as well. I do think that the purchaser plans to just continue to operate it as a retail center, maybe kind of a land play and then future development potential as well. 
Armin Martens: Okay. And Concord, was that – that's the stabilized 5% cap rate for the full building?
Kim Riley: That is more of an actual in place kind of going forward next 12 months.
Jonathan Kelcher: Okay. In terms of – now that you're deferring the retail spin-off, and you're still looking to sell a fairly larger number of assets next year, will you sort of tailor that more towards retail asset sales now? Is there any change in plan there?
Armin Martens: No, you're right. it will be a combination of retail and more office. A year ago before this pandemic came upon us, we shifted the paradigm. And while we were doing it, we thought we can sell all down all retail in a three-year period. We don't think that anymore because we don't want to give it away, right? But we can continue to sell some retail and improve our balance sheet and improve our portfolio, streamline our portfolio. And then we'll sell some more office as well and we'll grow industrial.
Jonathan Kelcher: Okay. And then just on the developments, Park 890 and Linden Ridge, were they fully in NOI? Were they in NOI for the full quarter?
Jim Green: Park 890 was, Linden Ridge is not. 
Jonathan Kelcher : And when – how much of the quarter was it in? 
Jim Green: Linden Ridge has taken occupancy and the top line. Jonathan, I'm sorry I'm not sure when their rent actually commenced. But I'm guessing it was it maybe September at the earliest?
Kim Riley: Correct.
Jonathan Kelcher : Okay. And then the bad debt recovery you got, that was included a Q3 NOI, correct?
Jim Green: Correct.
Kim Riley: Correct.
Jonathan Kelcher : Okay, that is it from me. I will turn it back. Thanks.
Operator: Thank you. Next question will be from Matt Logan at RBC Capital Markets. Please go ahead.
Matt Logan: Thank you. And good morning. 
Armin Martens: Hi Matt good morning. 
Matt Logan: When we think about some of your asset sales, you had mentioned there would be tax consequences, or potential tax consequences. If the REIT sold all of its assets today in a hypothetical, what would they be? Like how much could we see in terms of value erosion through tax leakage?
Armin Martens: I can't give you my answer because I'm not a CPA. So look, I mean Armin give me a warning look, [indiscernible] gave me a warning, look, don't say your thoughts in the public domain."] But in theory, Matt, if we sold all of our assets that are now at $15.35, that would be the equivalent to selling the REIT at $9 a unit, for example. It's just a killer. When we conducted this strategic review, we didn't want to do a unit-based transaction. That was the whole goal as far as – and if the pandemic had not come, we wouldn’t be having this conference call today possibly that we're that close to a strategic transaction for the whole REIT. And then it would have been a unit-based transaction, tax-efficient for the unitholders. So yes, it's not that simple just saying push the button to sell. But as I said, there is a risk of an activist not being aligned with the universe, especially when the activist is the middle – is partway through or halfway through a five-year fund. The more the time goes by in a five-year fund, the less the GP in asset fund is aligned with Artis unitholders or even their own LP unitholders. And as I said, the promote structure, the promote is based on top line, not bottom – based on bottom line. That's another misalignment with Artis unitholders. Most of our investors, we know they're retail investors. They're taxable. If you have your Artis units in an RSP account, that's different. That's different. And then you can plan accordingly. And if you have a staff fund or pension fund that’s different. But most of our investors and in our case I’m taxable. I’m that. I'm always looking at the after-tax result of all the transactions.
Jim Green: And to your point Matt, it’s really not value-erosion from the tax. It would just in fact if you sold all the REIT assets you would have, let’s say, $15.3 in cash to distribute to your unitholders, it would just affect the portion of that $15.35 that's taxable when you get it back from the company, yes.
Armin Martens: Now if you sell the units, Matt, that's just capital gains you're dealing with, not recapture. That's the difference, right? And recapture is a big thing the longer we own our properties.
Matt Logan: Fair enough. May be just changing gears, during the quarter you put out a press release which outlined the outcome of the strategic review with over 100 investors that were reached out to. Have any of them come back to the table, given what have been very solid operating results over the last two quarters?
Armin Martens: So the answer is yes, some ongoing dialogue – is taking place and interest continues. But there's nothing much more we can say on that front.
Matt Logan: And changing gears in terms of your planned retail spin-out, would it be fair to say that has been put on pause indefinitely and if so, what really are your top three strategic initiatives over the next 12 months? Is it simply debt repayment? Or how do we think about the balance between deleveraging and the NCIB? And anything else you might have in your cards?
Armin Martens: Yes, we’ll stay the course. It's interesting, but even the activists when – it wasn't that long ago they were saying that, "Armin, you're doing a good job. Artis is doing all the right things." And then I forgot to say that in my press release. But we'll stay the course. It's quite clear what we're doing. We she was selling another $550 million of properties, a good chunk that will be Christian [ph], paying down our debt to 45%. We know what our earnings profile looks like. We got some good office leasing kicking in, in Q4 and Q1 as well. And so we’re in good shape. And the 3% distribution model, it's very much very prudent and very affordable at this point in time. And it's the right thing to do to reward our investors because of what they've gone through, we've all experienced in the past year. The NCIB is a great thing because of our unit price right now, it's very accretive, but also it's a way to about shelter capital gains when we dispose the properties. As we run out of Calgary all these properties to sell, we'll be hit with capital gains, not just recapture on depreciation. And at least NCIB is the way sell through capital gains that recapture to deal with on the depreciation. So we're in a good place right now. We've got a good plan. We're moving forward. We're not spinning off the retail right now, but we are shrinking it, and we're shrinking in select office as well. And all of it makes us – increases our weighting in industrial, and it will improve our earnings and improve our balance sheet. It's got to, sooner or later, improve our price multiple as well right there. So we feel good about where we are without a doubt.
Matt Logan: And with the leasing that you've got on the horizon, together with improving rent collections, do you think we could see a return to positive same-property NOI growth in 2021? 
Armin Martens: It will happen. I mean if for no other reason, if its hit the bottom this year with our retail, right? It will happen, for sure. The end is near as the sign watch says, right? So things are looking up for us, and we'll get back to that part. We are so proud with seven, with nine consecutive quarters we had a positive same-property NOI growth? We're proud of that. And now we just hit two consecutive negative. But one end with your pandemic, we'll get through this, and our numbers will improve including the same-property numbers for sure.
Matt Logan: But suffice it to say with all the work that you're doing, at least the outlook is for generally stable results in the near-term?
Armin Martens: I think stable with – I believe that CIFFO per unit improving, but stable and improving. It's again it's a pandemic. We're not expecting a spike in earnings and a spike in our same property. But we're in very good shape. And as I said, we see ourselves maintaining good earnings, FFO per unit whilst paying down debt. 
Matt Logan: Well we appreciate the color. That’s all from me. I’ll turn the call back. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. And at this time I would like to turn the call back over to Mr. Martens.
Armin Martens: All right. Well, thank you very much, moderator and everybody on a call. Appreciate your interest. Hope everybody has a good Friday. Again, we feel very good about our results and about our outlook. We look forward to remaining engaged with all of our investors in the weeks and months ahead. Thank you very much.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.